Operator: Thank you for standing by, and welcome to the First Quarter 2021 Ameresco Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder today's program maybe recorded. And now I’d like to introduce your host for today’s program. Leila Dillon, Vice President, Marketing and Communication. Please go ahead.
Leila Dillon: Thank you, Jonathan, and good afternoon, everyone. We appreciate you joining us for today’s call. Joining me here are George Sakellaris, Ameresco’s Chairman, President and Chief Executive Officer; Doran Hole, Senior Vice President and Chief Financial Officer; and Mark Chiplock, Vice President and Chief Accounting Officer. Before I turn the call over to George, I would like to make a brief statement regarding forward-looking remarks. This call contains forward-looking information regarding future events and the future financial performance of the company. We caution you that such statements are predictions based on management’s current expectations or beliefs. Actual results may differ materially as a result of risks and uncertainties that pertain to our business. We refer you to the Company’s press release issued this afternoon and to our SEC filings. These documents discuss important factors that could cause actual results to differ materially from those contained in the company’s projections or forward-looking statements. We assume no obligation to revise any forward-looking statements made on today’s call. In addition, we will be referring to non-GAAP financial measures during this call. These non-GAAP financial measures are not prepared in accordance with Generally Accepted Accounting Principles. A GAAP to non-GAAP reconciliation as well as an explanation behind the use of non-GAAP financial measures is available in our press release and in the appendix of the slides, which can be downloaded from our website. I will now turn the call over to George. George?
George Sakellaris: Thank you, Leila, and good afternoon. I hope everyone is staying healthy and safe. The first quarter marked another excellent quarter for Ameresco as we posted great financial results and completed our first equity raise since our initial public offering over 10 years ago. Our first quarter began slowly with inclement weather in some of our project sites and operating plants. Our focus on execution, coupled with the improving weather conditions lead to improved performance throughout the period. The results far exceeded our expectations with revenues increasing 19%, net income increasing 80% and adjusted EBITDA up 40%. With this strong start, we are raising our annual guidance. Now. I also want to take this opportunity to thank our employees for their tremendous dedication and hard work despite these challenging times. Our project business had another strong quarter. Well, our energy assets again posted solid results. And we continue to focus on project execution. We were very pleased to see a meaningful pickup in awards during the quarter, which will lead to future growth in our contracted backlog. We were also very pleased to have successfully executed an equity offering bringing in over $120 million in proceeds to the company. Well, we historically have found that our long-term growth primarily through internally generated cash flows and non-recourse project financing. We decided the timing was right to accelerate our growth by raising additional outside capital. For many years, we have been growing our energy asset portfolio to provide highly profitable recurring revenue that increases our long-term visibility and profitability. Over the last few years, our team has been so successful that our assets in development and construction are now greater than our current operating asset base. In particular, we will accelerate the development of a number of financially compelling renewable natural gas RNG assets. With this new capital, we now anticipate building three RNG plants for commissioning during 2022 and another four during 2023. Over the last few years, we have seen a tremendous increase in interest in using RNG from a number of event customers, including large transportation and logistics companies, natural gas utilities and distributed energy resource owners. Just the other day, Washington State announced the low carbon fuel standard joined in Oregon, California and British Columbia. Back in 2010, Ameresco became one of the first companies in the country to commission an RNG plan. Currently, RNG is the most natural path to reduce or zero carbon footprint for many of these companies. With our current operating RNG assets, and those that we will be adding over the next few years. Ameresco will remain a leader in this environmentally important and profitable technology. Many of the early policies, actions and statements from the new administration in Washington support increased interest in RNG. Additionally, we believe that Ameresco is in an excellent position to benefit from the new administration's focus on low carbon future. Already we have seen the U.S. re-joined the Paris Climate Accord and most recently, they announced goal to cut U.S. greenhouse gas emissions by up to 52% from 2005 levels by year 2030. Also, the administration plans to directly fund and invest in the country's low carbon future through another [Indiscernible] currently working through the legislative process. A good example of this targeted investment is the approximate approximately $1 trillion or the $2.3 trillion infrastructure package, which will target project designed to mitigate climate change. This include expansion of solar and wind power, charging stations for electric vehicles, technologies to capture and store carbon pollution and equipment to make infrastructure more resilient against severe weather and other contingencies. These new government priorities are beginning to filter through the economy. We're already seeing traction with state and local governments and in the sea is commercial and industrial markets, where we have filled in a number of requests from companies looking to report and demonstrate progress on ESG initiatives to reach carbon reduction targets. Ameresco is well positioned to thrive in this new environment. We were recently ranked the #1 energy as a service provider in the guide house insights leader board report. This highlighted our ambitious energy as a service vision, had expertise in technology solutions, track record of success across customer segments, and our ability to provide financing for energy and as a service projects. The strong Ameresco brand in our reputation as the industry's leading provider of distributed energy resources should enable us to benefit from the very attractive growth opportunities in our clean technology markets. I will now turn the call over to Doran to provide some comments on our financial performance and our increased guidance. Doran?
Doran Hole: Thank you, George and good afternoon, everyone. I'll ask you to please refer to our press release and supplemental slides that have been posted on our website for additional financial information. Clearly demonstrated our momentum in the first quarter showing strong growth in revenue, net income and EBITDA. As you may recall, we were somewhat cautious at the beginning of the quarter given the poor weather in key markets around the country. While the weather did have some impact, it was more than offset by strong execution and better business conditions in general, leading to progressive improvement throughout the quarter. Revenue increased 19% year-on-year, again led by the excellent performance of our Federal Group. We also had strong results in our energy asset business due to several factors, namely, the increase in the number of operating assets, favorable production levels and an increase in RIN pricing in our renewable natural gas operations. This better than expected revenue performance, along with tight expense controls from increased operating leverage drove an impressive 80% growth in our net income to approximately $11.2 million and 40% growth in our adjusted EBITDA to approximately $30 million. As George mentioned, we were very pleased with the more than 35% year-over-year growth and 15% sequential growth in our awarded backlog, which now stands at $1.5 billion. The uptick in origination activity and customer engagement we're experiencing now not only help to build the awarded backlog, but also provides a more normal cadence for converting awards to contracts. As a result, we're confident that our lower contracted backlog, which was attributable in large part to strong execution over the past several quarters will be more than replenished over the next several quarters. Our assets in development had another quarter of impressive growth, ending the quarter at 386 megawatts represented by multiple technologies and geographies. Our 287 megawatts of operating assets have approximately 940 million in long-term contracted revenue and incentives. Together with our $1.1 billion O&M backlog, we are continuing to grow our higher margin recurring revenue businesses, providing us great long-term visibility. Ameresco’s liquidity has never been stronger and we have ready access to the resources needed to execute our aggressive growth strategy. We have significant cash balance of $81 million and over $100 million of capacity on our revolver. Additionally, we have broad access to non-recourse project financing and tax equity, as well as the ability to monetize development assets. For example, during the quarter, we expanded one of our committed sale leaseback facilities from $150 million to $350 million. On the back of our outperformance in the first quarter and the noticeable improvement in business conditions, we are raising our 2021 guidance. Our new revenue range is $1.11 billion to $1.16 billion. EPS is now expected to be between $1.22 and $1.30. And we are forecasting EBITDA of $140 million to $150 million. Now I'd like to turn the call back over to George for closing comments.
George Sakellaris: Thank you, Doran. In closing, I want to again take a moment to thank our employees, partners and customers for their continued commitment and cooperation. Together, we have been able to show tremendous resilience in the phase of challenges. With favourable Federal policy momentum and our enhanced financial position Ameresco is uniquely positioned for accelerating long-term growth as our customers continue to prioritize cost savings, resiliency, as well as lowering their carbon footprint. Operator. I will now like to open the call to questions. Thank you.
Operator: Certainly, [Operator Instructions] We also ask that you please limit yourself to one question and one follow-up. Our first question comes from the line of Noah Kaye from Oppenheimer. Your question please.
Noah Kaye: Good afternoon, and thanks for taking the questions. Hi, the first one on the project side of the business. I think it was really nice execution in the quarter. Can you give us some color on what enabled you to capture some of the project revenues in the quarter a little bit higher than you know previously thought? What was just, logistics getting easier. Was there any sort of pull forward? Is there any kind of evidence here of prioritization being given to these projects, just given sustainability considerations? And then how does that impact for the remainder of the year?
George Sakellaris: Yes, it's a very good question Noah. I’d say we pulled in and Mark can add some more color to it about $30 million from the balance of the year otherwise, for chorus two, three and four. And the primary reason for it even though we had some weather delays in the central region, in the federal group, we were able to, especially when the large projects and Norfolk Naval Shipyard, we’re able to get the permit about two and a half months ahead of schedule. And in addition to that, some of the approvals associated with that particular project, they came in a little bit faster it is a matter of fact, we are about $25 million ahead of our advanced scheduling payments coming out from that project. So and then we had a couple of delays in New York and the approvals, but primarily was the Federal Group that they were -- they had the ability to pull in some additional revenues about $30 million, which of course it came off the other chorus.
Noah Kaye: That's great color. Let me ask one about regulation and decarbonization. It strikes me that one good way to decarbonize is actually to regulate carbon. And just a couple of weeks ago, was announced that the EU is going to be introducing a package in June, that adds buildings to the sectors where there is an emissions trading system, where pricing and carbon is actually being captured here. And there's even some movement afoot in some states and the FDA as well. So I guess, are you perhaps more incrementally bullish on the EU market opportunity, just given that dynamic? And then do you see actual regulation of carbon and the carbon emissions of buildings becoming a tailwind for the company in the future?
George Sakellaris: Yes, I will comment a little better than Doran. Look, I think what's going on in the EU it's no question about that great, great tailwind for our business. And I wouldn't be surprised that -- don't be surprised. We might accelerate the business in the EU community use the U.K. as a base and then move from that. But more importantly than that, what we are hearing from Washington D.C. and what's happening in this country? We have a great tailwind on the regulation especially on some of the states that's coming out of the United States and especially Canada too.  And that's why in my commentary, I feel very, very good about this business where we are right now. Otherwise, the stars align enough to our benefit. There's no question about it. And for us is to be cautiously optimistic and but diligent in growing the business in a wise manner. But the opportunities are there. And I wouldn't be surprised that you will see us expanding in Europe in the near-term.
Noah Kaye: Well, great, thank you, George. Looking forward to that. And I'll turn it back over.
George Sakellaris: Thanks, Noah.
Operator: Thank you. Our next question comes from the line of Julien Dumoulin-Smith from Bank of America. Your question please.
Julien Dumoulin-Smith: Excellent. Thank you and congratulations to the team here. Nicely done at the start of the year.
George Sakellaris: Thanks Julien.
Julien Dumoulin-Smith: And you permit me several things here, if I can. First off, you know the additional RNG facilities now in ‘22 and ‘23. How are you thinking about this reconciling in terms of the total contribution of EBITDA growth incrementally? I mean, certainly, your target of double-digit EBITDA growth if you will, certainly seems fairly well founded on these almost alone, but I'm curious as to how you would characterize that piece of it, if you don't mind?
Doran Hole: Well so, Julien, it’s Doran. I mean, as you know, we don't give guidance beyond the current year, right. So we kind of have to start with that. The EBITDA contributions I think we've talked about before with kind of a reference to megawatts and with this question, I'll take the opportunity to sort of talk a little bit about that. So we had talked about 750,000 to 1.5 million of EBITDA per megawatt equivalent. translating that into MMBtu that's about $8.50 to $16.50 per MMBtu. That's of course dependent upon RIN prices. It depends on LCFS participation right in mid point representing around 50% margin. So in revenue terms that’s 1.5 million to 3 million of revenue per megawatt or $17 to $33 per MMBtu. When I look at the cadence of the 2022 plants and the 2023 plants, I think 2022, those three plants total, probably around 36 megawatts ish, or 3 million MMBtus, which by the end of 2022, that's 2.5 times what we have now, right. So, I think it's an important point, we're looking at the cadence. So I think based on all of that, we continue to take a conservative approach toward the company's medium-term, long term growth, right. We look at that, now we're into the low double-digits on revenue growth, a little bit over 20 on the EBITDA growth and of course that we're hoping to see that cadence continue but clearly, our investment in these RNG assets, is hopefully going to give us a boost.
Julien Dumoulin-Smith: Excellent. Since you bring up some of the metrics here, can you talk about your hedge position right now on RIN, et cetera. Obviously, RIN has seen a nice uptick. I think early, you guys haven't been fully hedged. Can you talk about how that contributes here to your higher guidance and as well as relative to the math you just described on future projects?
George Sakellaris: Yes, as we pointed out last time, we have about 40%, what I would call forward sale actually we executed some contracts as they go out this for five years. And as we grow, you will see as the executing contracts in the short range though, because I think the RIN prices as the market overall is developing now we are in the early stages. So we don't want to sign long-term contracts because we think we sacrificed too many economics. But hedging about or having short-term contracts about five years or so for about 50% of the output of our plants, it gives us pretty good project financing. And we think the economics are better, however, as all these new markets, whether is the gas utilities or were the universities or hospitals, or they have combined heat and power plants. And then we're reducing our carbon footprint, they are ideal candidates for longer term contracts. And I know some people in the industry, they quote in long-term contracts. And some of them we have looked at them. And we negotiated for some time, but we passed because we thought that we are in early stages or this market developing, so we're going to be watch it very carefully. But however, from the long -- because we already in like Doran said 12 megawatts next year and about that much by 30 megawatts the following year on the plants that we are adding. We will hedge about 50% of the output of those plants. But for shorter periods of times but if let's say six months from now is we have a good deal and goes out 10 years or 15 years, we will do it.
Doran Hole: And the other thing I want to add, by raising the equity, we have a little bit more flexibility now that we had before. And that's why we felt more comfortable in going ahead and accelerate the development of these assets, because we have tremendous backlog on that we have -- okay, we built-in six assets now on the RNG. And we have another six in the development pipeline and forget what we have in the actual pipeline.
George Sakellaris: Yes, that's right. Right. Julien, and sorry, just because it was part of your question. So I think the impact on RINs for the quarter, probably a couple of million dollars higher. I think, RNG overall probably contributed 3 million to sort of we'll call it over performance. But one of that was just pure output. I mean, the plants just had improved production, higher production and then a couple of million from the higher RIN prices.
Julien Dumoulin-Smith: And then if I, permit me just in quick, in brief, if I can, how are you thinking about your disclosure package, as you think about the disparate businesses involved you talk about Europe, you talk about RNG how are you thinking about updating and providing perhaps more specific disclosures on different parts of the business here? I mean it by the way, Doran, thank you for the heuristics just now on the RINs and RNG side. But you know, obviously, as you get yourself involved in different sides of the business here, have you give much thought to that.
Doran Hole: Yes, Julien, I think we are continuing to give thought to that. At this point in time, we're staying in the course with; you'll see the supplemental slides, the way that we present the material graphically. I think we felt very good about providing additional color during the Q&A, like I've just given you. But kind of beyond that. I think we're just going to take it one step at a time.
Julien Dumoulin-Smith: Excellent. Well, again, I emphasize, congratulations, and best of luck.
George Sakellaris: Thanks, Julien.
Doran Hole: Thank you, Julien.
Operator: Thank you. Our next question comes from the line of Craig Irwin from ROTH Capital. Your question, please.
Craig Irwin: Hi, good evening. Thanks for taking my questions. So can you remind us the half dozen plants that you have confirmed into your pipeline on the RNG side? What is the schedule of those build outs, where and when do you expect to build these? And how should we expect those to come on over the next couple years?
George Sakellaris: Yes Craig, Why don’t I take that. So just I mean, as we talked about, we've got the one plant this year, right, which is 12 megawatts or about a million MMBtu. In 2022, we're now kind of scheduling three plants, total of 36 megawatt equivalents or 33 million MMBtu, right. And those are the three California plants we've talked about before, right. The 2021, we're expecting that to be kind of fully commissioned before the end of Q2 this year. In 2023, we've got four more they're a little bit smaller so 29 megawatts total, 2.5 million MMBtu. And then we've got in our asset and development pipeline, six more plants with signed gas and land rights to them. And as you can imagine, there's quite a lot more in kind of the development and negotiation stage behind that. But that's the cadence, we're not ready to talk specifics about the timing within the year 2022 or 2023 as far as those plants are concerned, but we do feel pretty comfortable with that cadence in those years.
Craig Irwin: Okay. Thank you for that. So there's been a little bit of controversy out there over the last couple of months, about the cash flow of the assets, right. So, Ameresco has greatly improved the disclosure around the assets and helped us understand this quite a lot over the last few years. But can you maybe describe for us what you expect as far as cash generation of these assets over the next couple of years this year 2022 and beyond? I'm not asking for specific numbers, but maybe hurdles that you look at internally, and then how much of the capital budget and if you have specific numbers for us in ‘21, and ‘22 is going to go towards the assets build-out for these projects?
George Sakellaris: So sorry, starting with the very end of your question, which are these projects. I mean, I think that we dropped some numbers in the press release about our expectations for the rest of the year in terms of CapEx on energy assets overall. RNG plus solar plus microgrids plus whatever else energy as a service. So that range is 165 million to 215 million remaining for the year. As far as the cash flow question, Craig, I don't think we're in a position today to start formally disclosing cash flow or net income kind of on an energy asset category, by energy asset category basis. It's something that we are looking at to try to provide a little bit more clarity. But as you know, unlike yield codes or other dividend paying stocks, we are investing all this cash flow that we're pulling in off of these assets. Furthermore, as we grow the portfolio, like we're doing and increasing our plants for the next few years much of that cash flow information will largely be driven by ultimately the revenue mix, associated with the offtake and the type of project financing or non-recourse financing, we apply to these assets. So more to come. I appreciate the question. I understand its importance and we're going to work on that.
Craig Irwin: Okay. And then last question, if I may, you know, with the successful IPO non-talk and the obvious success at Ameresco with your green gas portfolio, it seems like there's dozens of these green gas companies out of the woodwork, coming out of the woodwork. Many of them don't have much as far as an experience base, but are trying to raise cash to acquire projects and development in different stages of development. I do know that there are projects that are being shopped. But most of these are items that people actually have to go out and find themselves and develop the way Ameresco has. Can you maybe give a little color on how challenging it is to get a project up and running beyond the initial paperwork of just, maybe filing some permits or initial agreements, can you maybe just -- for us what these new entrants are really looking at as far as longer term execution challenges?
George Sakellaris: And that's why some of these companies sometimes when they forecast me some numbers, it's very challenging to, especially in California and quite a few other states to permit besides, as well as gets its pipelines in order to interconnection with the utility, the gas companies and so on. And that's a great differentiator that we have in the marketplace. Not only we have the development capability, because we have the relationships with various landfill owners, we've been doing this for the last 21 years. In addition to that, we've been designing, building them operating and maintain them. And from the time that you get started, let's say you identify the customer, and sign a letter of intent and then negotiating the agreement, let's say whether it's a gas agreement and so on, by the time you get the plan up and running, I will say it's a three-year cycle. And I can tell you in California a couple of our earlier projects, it was even longer than that the permitting. But as the regulatory environment changes little bit things might change, shorten that cycle a little bit, and that's why we feel very, very good. We see a lot of money going to the RNG, and a lot of funds and so on. But we think we have a competitive advantage because we've been there, we have the relationships. We have the development backlog. I mean, even if we didn't have another project, we have good 2024 I was thinking the other day ‘25. And I know in our pipeline, we have quite a few more. And we have not only build them, but we operate and maintain them. And they are pretty complicated. I give you an example, and why we're a little bit cautious. On this quarter numbers when we made the Annual Report. We had three of our plants out the San Antonio because of the freeze up down there, we will estimate it's going to be about three to four weeks out. Our guys, they got it back and within 10 days. We had the Woodland plant out estimated for two weeks. We got it back with less than a week. And then the other the plan, as you confection we had to demobilize because of the freezer and so on. And we thought you might be out a couple of weeks, we lost four days. But so we have the capability. And that's very, very important that to build these assets. They are very complicated. They are not so like solid that they are much easier. And we feel very good about this. On the other hand, you probably read the book by Andy Grove, the Paranoid Survive with all this money coming into this market. I am paranoid and I always try to stay ahead of the competition.
Craig Irwin: Great. Well, we have no doubt you're going to stay ahead of the competition. Congratulations on the really impressive performance here George and your team at Ameresco. This is impressive execution.
George Sakellaris: Thank you. Craig Thanks. Craig.
Doran Hole: Thank you, Craig.
Operator: Thank you. [Operator Instructions] Our next question comes from line of Ben Kallo from Baird. Your question please.
Ben Kallo: Hi, thank you, good evening. My partner, George told me to say happy Dave day to George for yesterday. And I guess my question is….
George Sakellaris: Thank you.
Ben Kallo: You’re welcome. And for me too. With the new capital and you've mentioned it the 10 years, you haven't raised any capital until now. And I think all the questions have kind of, bunch you’re focused on the renewable natural gas opportunity. And I just wonder about the different opportunities, you just said, this is more difficult than solar. And I wonder for the next step of things or maybe that's how you look at batteries or microgrids or what have you, if this capital opens up that…
George Sakellaris: No question about it. I know, we emphasize the RNG property more than any other ones. But I think somewhere we've made the statement and all other renewable assets or microgrids look combined heat and power is here to stay distributed generation, I think it's the way of the future. And some people, they think it's going to be by built-in more of admission lines for resiliency, at the end of the day, they will find out that it will be microgrids and distributed generation. And that's why we're very excited about energy as a service. And we’ve gained some very, very good attraction, because basically, that's another asset class that we will have, we’re talking to some commercial industrial customers, that they're going down that direct shop. Now, this is capital and that's why when we made the decision, this is what we looked at where the business is going not only -- the green gas, will also there in solar that would get accelerated as well. But we have talked that in the past, I thought in that way, we didn't emphasize as much. But as you see with the generation, the energy and the service and the microgrids, I think are the wave of the future. And you're going to see us play more and more role in that particular market. I envision very good traction as well because we have the capabilities in it.
Ben Kallo: Well, how are the customer set the same or different and then so how do you attack them between those different opportunities? I guess, because you've been good at what you're good at. And so to open up a new opportunity, you know, how do you pivot? Or do you not have to exit the same customer,
George Sakellaris: No we do not. Energy as a service we've been doing that for the last 10 years. Basically, it's no different because we are going energy savings performance contracts, because although it all gets financed through a third-party that shows on the customer's balance sheet energy as a service, it does not show generally, when the customer is off balance sheet financing. And we get a deal on the savings on the other contracts on the energy performance contracts. And we get paid that have the savings on the energy as a service contract. So by the way, back in 1981, the first contract that I did, it was energy as a service, don't be the [Indiscernible] that we will get into over 50% of the savings, we'll make another 40% margin so and I can -- we have customers that they can pivot from the performance contract to energy as a service contracts.
Doran Hole: Yes, Ben I think the asset ownership opportunity will also follow the, clean energy goals and the carbon reduction goals that are kind of proliferating across the market. So that's both much market, as well as, obviously the federal government plus the corporate market. And so I think that that's going to drive a lot of demand, we're going to continue to offer flexibility in the way these things get financed. So if the customer wants an energy as a service, that we put the asset on our balance sheet or a PPA or what have you, we're going to be standing ready to do that. And I think this equity deal provides us with more firepower to just go after it.
Ben Kallo: And last one and thank you guys very much for that. on the balance sheet, anything else you guys can do or looking at doing from maybe a debt perspective or anything like that just continue to expand your reach? Thank you guys very much.
George Sakellaris: Sure. So, Ben, I think on the debt side, and I'm not going to project forward but obviously we're continuing to work on non-recourse financings that are that are meaningful for the company based on the asset portfolio we will continue to do that and certainly, if we decide to do more, we'll be talking about it in the future.
Operator: Thank you. Our next question comes in a line of Tim Mulrooney from William Blair. Your question, please.
Tim Mulrooney: Good afternoon. Thanks for taking my questions.
George Sakellaris: Sure Tim.
Doran Hole: Hi, Tim.
Tim Mulrooney: So I know you're working with a long sales cycle here. But curious if the recent winter freeze in Texas has ticked up more conversations around distributed generation and energy security with your customers or potential customers?
George Sakellaris: Yes, no question about it. And it started with a Sunday storm way back from especially at New York, New Jersey. But more recently, now it has become pretty much a way of life I would say. I mean, every base that we are doing a project with right now in the United States, it has some kind of resiliency and solution. Take the Norfolk Naval Shipyard it has a combined heat and power and battery storage. Take the Parris Island, the same thing. We're talking to some clients, commercial industrial customers that talk about which particular ones but they do colleges, we have three colleges right now that they are committed to have resiliency. Because look at it this way and I think I mentioned this before, I was doing the generation planning for New England electric all the way till 1979. And back then, we were looking at the single contingency, and then we will double contingency basically losing 10% of the load at New England, which that would be two nuclear units[Indiscernible] and that will give us a lots of low probability 1 in 100 years. But now, with 30% of the load coming here at wind farms or solar, you get almost 30% of the load going out on a simple contingency, there is no way to admit your line when it can recover that already it is going to be distributed generation and battery storage and microgrid that's going to people, will realize it will be the way to go.
Tim Mulrooney: Got it. Thank you.
George Sakellaris: So they are getting traction.
Tim Mulrooney: Okay, thank you. And then, with all the recent headlines around ESG, and corporate responsibility in conjunction with the new administration taking over curious if you're starting to see an uptick in interest from CNI clients even relative to say, this time last year, and if that's resulting in any environmental traction, what about for like, for energy as a service offering, for example, George?
George Sakellaris: Yes, we get into pretty good traction associated with that energy as a service and regain energy. I think I mentioned it in the last call, told somebody that first time that we have a call from CNI customers say, hey, guys, we need help. We got to do something about our government reduction and we have the software to tell them where they are so on and it -- and that's why I made it in my comments here at in my comments that we do get some activity.
Tim Mulrooney: Great. Thank you so much.
George Sakellaris: Thanks, Tim.
Operator: Thank you. Our next question comes from the line of Eric Stine from Craig-Hallum. Your question please.
Eric Stine: Hi, George.
George Sakellaris: Hi, Eric.
Eric Stine: Sorry, maybe to sticking with CNI. You know, since that's an area that you're starting to get traction and obviously as you look out three to five years. I mean, what kind of mix do you think that can be of your overall business? And then do you expect that to fall more on the project side or do you think that that's something that, you'd look at more on the energy asset side as you think about that going forward?
George Sakellaris: Right now, we have more on the project side than we do on the assets. There is like, we can talk about this Wells Fargo the bank, we started out, we're going to own the 30 megawatts of solar. And then, they said no, you develop a design is built as for us, we will own it. So we can see that. But on the other hand, there are a couple deals that we will be talking hopefully in the near future that they are go in the other way. So I think it's too early to tell, but I will reserve judgement until we get a little bit more information. I will let Doran wants to add something.
Doran Hole: I think it is going to be driven by what the customer is looking for in terms of their financing capacity, and it'll probably differ depending on whether you’re talking about a large strong corporate with a high credit rating and access to low cost of funds, or something that is a little bit more down the credit spectrum so it'll depend.
Eric Stine: Got it. And then, just in terms of mix, I mean, do you think three to five years out this is a very meaningful part of your mix or do you think that the majority of business will still be you get more traditional?
George Sakellaris: I think of the project business, I think it will be meaningful.
Doran Hole: I think it'll be meaningful, it will certainly increase. However, I would say that the municipalities and our traditional merge market and federal government customers are equally increasing their cadence on proposals and RFPs and carbon reduction goals, et cetera. So, Yes, I mean, corporate certainly going to grow faster than the others, but the others are still growing.
Eric Stine: Okay, that's great. Thanks.
George Sakellaris: Certainly. Thank you.
Doran Hole: Thank you, Eric.
Operator: Our next question comes from the line of Jon Dorsheimer from Canaccord Genuity. Your question, please.
Jon Dorsheimer: Hi, thanks. Congratulations on strong execution, guys.
George Sakellaris: Thanks.
Doran Hole: Thank you.
Jon Dorsheimer: I guess first question, just curious, we're seeing inflationary pressures on the material side of things. And so I'm just wondering how you're thinking about that in terms of project business? Are you able to, I'm assuming based on structure contract, you're able to push those prices on to the customer in a cost plus type relationship. But at some point, do you see any negative impact in terms of getting over a certain threshold where the project gets cancelled or given --
George Sakellaris: No. not to the point that it will project will be cancelled, just the payback period changes, but we do see some in some pressures in the pricing and then some of the equipment delays, especially on some of the microgrids and some of the sophisticated controls for street lights, we've had some delay when equipment there. And then when the battery storage, so but so far, it hasn’t had a significant impact in the overall business or performance of our company. And the other thing is, you remember, we manage those risks very, very well, because we price the jobs, and then we sign the contract. And generally, we have bought the equipment, and then many times we have actually good as a subcontractor, but on the other hand, some of the contract that take longer periods of time, we do have some exposure there. And we are watching it very, very carefully. Buy pre buying panel of lights and so on.
Doran Hole: I mean, the only thing I'll add there is that we don't have any particular components that contribute such a large portion of our supply chain, our needs, our procurement needs, right. So, one inflationary pressures on steel for example, right. I mean, was there an impact? Sure, there was an impact, most of our contracts get negotiated. So we've got margin protection, but at the same time, even there that does not represent a substantial portion of our spend on the cost of execution in our cost of goods sold. So I think we're somewhat protected by the diversity of the types of equipment that we're buying.
Jon Dorsheimer: Great. And then just as a follow up question on the CNI in particular, you know, as we prepared to -- is companies are preparing to go back to the office or some type of structure. I'm wondering the occupancy of most of the buildings are rather low on the commercial office side and also on the industrial side, I would think that [Indiscernible], his broad resiliency, top of mind and wondering if you could just parse out for me, the delta in terms of the driver, is it more resiliency that's driving some of that project business or offering features and functions to in office like a charging station in the parking garage or better HVAC system? How are the projects kind of categorized in terms of the driver on the CNI?
George Sakellaris: I will say, primarily getting back to the office, it's around the charging stations and then maybe some filtering or new HVAC systems to make sure that people get back and they have a safe environment, and so on. But now you're talking to a data centre or a bank or something like that, then the drivers is resiliency. Because I know we're developing some solar, we own couple of projects because they want the solar, but then we realize that we do the microgrids and the battery storage. And that's how we got selected because we gave it a more comprehensive solution.
Jon Dorsheimer: That's great. Thanks for the color. And congrats again, guys.
George Sakellaris: Thank you very much.
Doran Hole: Thanks.
Operator: Thank you. And our final question for today comes from the line of Pavel Molchanov from Raymond James. Your question, please.
Pavel Molchanov: Thanks for taking the question. So we've talked about the infrastructure proposal from some of the rhetoric as well. I have a specific question in relation to the Department of Defence. Have you noticed any kind of concrete changes in the contracting approach or the willingness to adopt efficiency solutions by the duty or the army corp engineers? If we just think about the last 100 days?
George Sakellaris: Yes, it’s an excellent question. But I asked [Indiscernible] the same question last week, when she was here. Given your perspective, last year, for the first six months, we had zero requests for RFPs coming over the federal government. So far this year, we have five that's for energy savings, performance contracts, we have other ones designed built many, but specifically, which is the main driver of our business, the energy savings performance contracts. This year, we get five last year for this time plus another three months, because of -- the second quarter of last year was pretty much there anyway. But everything was closed down. But the attitude, which is the driver, and that's why we made it in the comments. It's much, much more positive, and in addition to that incorporating not only resiliency, but renewables, I think you will see that even the previous administration, they wanted the infrastructure upgrades because this project they didn't have to come up with any money. But now the new administration not only will want the infrastructure upgrades, the resiliency, but renewable components in the various projects. And some of the things that we're working on this infrastructure bill will help considerably. So they will have the option whether to do it, say a solar farm under the energy saving performance contract, or they can take it out and do it under a PPA purchase power agreements giving more flexibility to achieve their goals.
Pavel Molchanov: Yes, that's an interesting year-over-year comparison. And I appreciate the detail on that. One more, DOD same question. The contract that you specifically highlighted in Norfolk $173 million. I think it's the largest -- history, correct me if I'm wrong. What's the sequence of recognizing that revenue between this year and next kind of the allocate?
George Sakellaris: By the way it's not the largest one it's on the river, way, way back that we did. We took a note that 25 megawatts coal fire cogeneration plant demolish the building a brand new Woodchips Power Plant, it was definitely the energy savings performance contract about a couple of $100 million project so close enough anyway. And it's been worth. And that was a transformative project for us. That $173 million, we get paid as a percent complete. Actually, they have a schedule, it's about two years right now.
Doran Hole: Yes, for two years, years, 100% complete, right as we deliver that as we deliver the project will recognize that under, we're constructing it, 100% percent complete, and then we'll move into the O&M Phase 1 CET, what that project can deliver?
Pavel Molchanov: Right so…
George Sakellaris: And this is an excellent item contract on that particular project once it's completed,
Pavel Molchanov: Right. So half and half this year and next?
Doran Hole: No I hope I think…
George Sakellaris: No, I would say less than half of this year. 
Doran Hole: Yes.
George Sakellaris: Probably less than half of this year and then more…
Doran Hole: And more next year.
George Sakellaris: Yes. And the reason behind it because we just, like I said, we got the permits early March, we started moving equipment and so on.
Doran Hole: Take some time to start to really ramp up. But yes, so I think we'll see more of it next year.
Pavel Molchanov: Okay. Understood. Thank you very much guys.
George Sakellaris: Okay. Thank you.
Operator: Thank you. This does conclude the question and answer session as well as today's program. Thank you for your participation. Ladies and gentlemen, you may now disconnect. Good day.